Operator: Good morning, ladies and gentlemen, and thank you for standing by. At this time, I would like to welcome everyone to Stellus Capital Investment Corporation's conference call to report financial results for its second fiscal quarter ended June 30, 2024. [Operator Instructions]. This conference is being recorded, August 8, 2024. It is now my pleasure to turn the call over to Mr. Robert Ladd, Chief Executive Officer of Stellus Capital Investment Corporation. Mr. Ladd, you may begin your conference.
Robert Ladd: Okay. Thank you, Paul, and good morning, everyone, and thank you for joining our conference call today covering the quarter ended June 30, 2024. Joining me this morning is Todd Huskinson, our Chief Financial Officer, who will cover important information about forward-looking statements as well as an overview of our financial information.
Todd Huskinson: Thank you, Rob. I'd like to remind everyone that today's call is being recorded. Please note that this call is the property of Stellus Capital Investment Corporation and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using the telephone number and pin provided in our press release announcing this call. I'd also like to call your attention to the customary safe harbor disclosure in our press release regarding forward-looking information. Today's conference call may also include forward-looking statements and projections, and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to materially differ from these projections. We will not update any forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.stelluscapital.com under the Public Investors link or call us at (713) 292-5400. Now I'll cover our operating results for the quarter, I would like to start with our life to date activity. Since our IPO in November 2012, we've invested approximately $2.5 billion in over 195 companies and received approximately $1.6 billion of repayments, while maintaining stable asset quality. We've paid over $262 million of dividends to our investors, which represents $15.75 per share to an investor in our IPO in November 2012, which was offered at $15 per share. Turning to operating results. In the second quarter, we more than covered the declared dividend of $0.40 per share with GAAP net investment income of $0.48 per share. Core net investment income was $0.50 per share, which excludes estimated excise taxes. Net investment income per share was benefited by increased fee income from a variety of sources and the waiver of $1.6 million or $0.06 per share of incentive fees during the quarter due to a limitation from the total return test. Net asset value per share decreased $0.05 during the quarter due to net unrealized depreciation on our investment portfolio, offset by the generation of net investment income in excess of the dividend. We also realized a gain of $2 million or $0.08 per share on an equity investment during the quarter. Our ATM program was active during the quarter, and we issued $25.2 million in shares at an average gross price of $13.89 per share, all issuances were above net asset value. We ended the quarter with an investment portfolio at fair value of $900 million across 100 portfolio companies up from $876 million across 94 companies as of March 31, '24. During the second quarter, we invested $53 million in 8 new portfolio companies and had $13.3 million in other investment activity at par. We also received 2 full repayments totaling $31 million and $9.7 million of other repayments, both at par, resulting in net portfolio growth of $23.8 million at fair value. At June 30, 99% of our loans were secured and 98% were priced at floating rates. Our average loan per company is $9.5 million, and the largest overall investment is $19.6 million, both at fair value. All but 1 portfolio company -- of our portfolio companies are backed by a private equity firm. Overall, our asset quality is slightly better than planned. At fair value, 23% of our portfolio is rated a 1 or ahead of plan and 15% of the portfolio is marked at an investment category of 3 or below, meaning not meeting plan or expectations. Currently, we have 5 loans on nonaccrual, which comprised 2.9% of the fair value of the total loan portfolio. With that, I'll turn it back over to Rob to discuss the overall outlook.
Robert Ladd: Okay. Thank you, Todd. As we look ahead to the third and fourth quarters, I'll cover portfolio growth, equity realizations, capital management and dividends. Based on an active pipeline, we expect to end the third quarter with a portfolio of between $920 million and $940 million. We do not know of any loan repayments in Q3, although we did have an equity realization which is disclosed in our subsequent events for $2.6 million of proceeds and a realized gain of a little over $2 million. For Q4, we are aware of 2 likely repayments totaling $17 million and one of the companies has an equity co-investment, which is currently carried at $1.8 million at fair value. We expect that new fundings will exceed repayments for Q4. As Todd noted earlier, we had a good second quarter for equity issuance under our ATM program. We have a meaningful amount of capacity in our bank facility and cash in our SBIC, but we will look to continue to increase the bank facility over time. Given our current capital base, we have the ability to grow the portfolio to over $960 million. And finally, regarding dividends, we expect to continue, subject to Board approval to distribute at a rate of $0.40 per share per quarter payable monthly through the rest of the year. This should be supported by earnings and a large amount of spillover income. And with that, I'll open up for questions. And Paul, please, we'll start the Q&A session now.
Operator: [Operator Instructions] And the first question today is coming from Christopher Nolan from Ladenburg Thalmann.
Christopher Nolan: Can you hear me? Nice quarter, by the way. The fee waiver, is that something that we should expect to repeat in coming quarters?
Todd Huskinson: So Chris, first, I would say it depends, of course, on each quarter's performance going forward in the mechanics of the 12-quarter test. But I think at this point, we don't expect anything for the remainder of this year under the test absent any other movements in the current performance.
Christopher Nolan: Got it. And then, I guess, turning to nonaccruals, EH Real Estate, obviously, that's a big position there. It's a big driver for the nonaccruals. Can you give a little color in terms of what sector they're involved in? And...
Robert Ladd: Sure, Chris. Chris, this is a residential realtor title company insurance business in the Midwest.
Christopher Nolan: Okay. And then -- and then I guess the final question. It's just the unrealized depreciation in the quarter. Any particular color was just normal mark adjustments?
Robert Ladd: So it's driven more on company-specific activities. But again, overall, not a large number.
Christopher Nolan: Okay. And then I guess, finally, Rob, you mentioned how you're looking to increase the credit facility, but your leverage ratios are so low. Is the thinking here to given the uncertain credit environment to tap the credit facility more going forward? Or you just be more cautious.
Robert Ladd: Yes. So we have quite a bit of unused capacity in the current credit facility, which has a commitment of $260 million. And so we certainly will use that up as we grow the portfolio. But again, we'd like to given the additional capital base that was raised last year and so far this year, to have that start to better match the equity base. And this would enable us to take what I described as a portfolio potential of over $960 to over $1 billion.
Operator: And the next question is coming from Sean-Paul Adams from Raymond James.
Sean-Paul Adams: Congrats on the quarter. Really quick question touching back on the nonaccruals, I know you guys added 1 new nonaccrual last quarter, J.R. Watkins. I think now we're sitting at 5 total nonaccruals. Is there any time line or pathway for resolution for NAVs?
Robert Ladd: They all have kind of specific paths from here, Sean. So I probably wouldn't describe anything. As you know, we somewhat guarded about talking about individual companies that operate in our country, but each will have their own path, and they're being worked hard, how is that.
Sean-Paul Adams: Yes, that's perfect. That's great. And then turning over to leverage. You guys are a little bit higher in terms of a total leverage basis. What are your thoughts on either moderating or staying exactly where you're at over the coming quarters in terms of the changes and like the forward rate curve?
Robert Ladd: Sure, sure. So I'd say a few things to look at leverage. So we're actually less levered now than we normally are. This is due to the equity raise. So as we bring the portfolio back up to kind of full potential think of us being a target leverage on a regulatory test would be about 1:1 and on a total test, gap test, including the SBIC debentures at a little over 2:1. So we'd like to increase the leverage, but not significantly, but more back to our target levels. One thing that might be less obvious is we have over $30 million of cash right now in our SBIC licenses. So when that's deployed, that won't increase the leverage. So it's just as a footnote there. And then as we look ahead, we think it's a very interesting time to invest in the lower middle market in this country, and we're optimistic about the future and the many private equity firms we work with. So we're very selective in our investing. And so we'll continue to invest in a smart way. And again, we'd like to see our leverage come back up to more of the target.
Operator: Thank you. And there were no other questions in queue at this time. I would now like to hand the call back to Mr. Robert Ladd for closing remarks.
Robert Ladd: Okay. Thanks, everyone, for your support of our company and we look forward to updating you again in early November for the results from the third quarter.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.